Operator: Good afternoon, ladies and gentlemen. Welcome to the Dream Unlimited Corporation year-end conference call for Wednesday, February 24, 2021. During this call, management of Dream Unlimited Corporation may make statements containing forward-looking information within the meaning of applicable securities legislation. Forward-looking information is based on a number of assumptions and is subject to a number of risks and uncertainties, many of which are beyond Dream Unlimited Corporation's control that could cause actual results to differ materially from those that are disclosed in or implied by such forward-looking information. Additional information about these assumptions and risks and uncertainties is contained in Dream Unlimited Corporation's filings with the securities regulators, including its latest annual information form and MD&A. These filings are also available on Dream Unlimited Corporation's website at www.dream.ca. [Operator Instructions]. Your host for today will be Mr. Michael Cooper, CRO of Dream Unlimited Corporation. Please go ahead, sir.
Michael Cooper: Thank you, very much, and good afternoon, to everybody. I'd like to welcome you to Dream Unlimited's year-end conference call. I would also like to welcome Deb Starkman, who is our CFO, and this is the first conference call we've hosted together. 2020 was remarkable year beyond anything that I had anticipated. I think probably beyond anybody's expectations. It was a very difficult year in many, many regards. And I hope that everybody is well, and hope your families are well. Throughout the year, we tried to focus on people's well-being and managing our business the best we could. It's been a crazy year. A lot of things happened that we weren't expecting. And the first one is, we sold just about everything we owned that was standing inventory in Western Canada. We'll be developing more new launches this year than we have in many years. We have buyers - builder buyers who have provided us with deposits to pay for the costs, and we expect reasonable margins, and we expect that we'll probably have the best year that we've had profit-wise since 2017. In Toronto developments, we've had our most successful year of development approvals that we've ever had. And we expect that in 2021, we'll have an even better year. Throughout all of our projects, construction is generally on time and on budget. 2021 will be a big year at Zibi with 2 renovated buildings coming online and our first new build office for the federal government and our first department. In December of 2020, our first purpose-built rental building was completed in Saskatoon. In under 90 days, it's already 50% leased out with the rents that are expected are better. We'll start the next building in May, and we're also starting, in the same Brighton Village, our first purpose-built condo house rentals, and they'll be done in 6 or 7 months. So we're going to get a real quick response to the demand. And if we continue to see demand in Brighton and other communities for apartments and townhouses, we've got a tremendous amount of capacity to build. It's becoming clearer and clearer now that we have income properties being completed every year. The visibility through 2025 is very clear as many of those buildings are already under construction. But even behind that, we have many more projects to build, and they'll all work to increase our recurring income. Dream Industrial has grown in Canada, the U.S. and Europe and has continued to see lots of opportunities to grow profitably and has good access to capital. Dream Office has performed surprisingly well, considering that so few people are in office buildings, but we continue to lease. We've had a little bit of an erosion in our occupancy, but we're very bullish on our portfolio. 357 Bay has been completed. We work to move into the paying rent. Our other large development is in Regina. It will be ready for occupancy in July. So we're making a lot of progress on our developments. And Dream Office is holding up pretty well. We've seen some big trades and downtown Toronto office space, office buildings are very valuable. I would think there's been 2 huge initiatives for us that will have long-lasting benefits to the company. The first initiative is our focus on impact investing. So we repositioned Dream Alternative Trust into what we believe is the world's first public impact fund. We are dedicated to achieving market real estate returns or better, plus significant impact for our society. We want to achieve both. Dream has always managed our business this way. But in 2019, the World Bank created the operating principles for impact management of some of the largest investors in the world. And with this, impact investing has become its own asset class. It is an extremely fast-growing asset class. Dream Impact Trust has $600 million invested in impact investments, which will grow to $2.2 billion through completion. We're focused on 3 verticals: affordable and attainable housing, resource management and inclusivity. We are currently creating a very detailed thorough framework for setting goals, measuring and verifying our impact management. The leading investors in this asset class are among the largest, most-sophisticated investors in the world, and we want to show them the quality of our work and prove the impacts that we're providing. Impact analysis will be part of our due diligence for any new acquisitions. We will be doing that in addition to the financial analysis. All of our annual business plans will include financial expectations as well as impact expectations. And both our financial outcomes and our impact outcomes will be audited, and the audits will be made public. For more information, I ask you to tune in for tomorrow's Dream Impact Trust conference call at 10:30 a.m. My personal belief is that being a leader in impact investing is one of the best opportunities I've seen in my career, and I'm looking forward to the work that all of us at Dream are going to do on this area. We announced two significant hires, which are, Florida, one of the world's leading futurist about cities, urbanist, is becoming a Vice-Chair of Dream focusing on impact. And Pino Di Mascio, one of Canada's top urban planners and most recently at Sidewalk Labs, in charge of how they create better communities, communities that have a bigger impact. He's joining us. And between the 2 of them and the rest of our team, we're going to have a lot more capability to deliver on our promises. In addition, the other big initiative that we're doing is Jane Gavan, with the sale of Dream Global has become head of our asset management. She's working primarily on private equity asset management. And in 2020, we got started. In 2020, we had costs, setting the company up, but we've made a lot of progress. In this month, in February, we've entered into a transaction with a large international asset investor, and we're selling them 90% of the portfolio of apartments that we bought in July that are located in Dallas. We bought some more assets with them. We've contracted them. They're in Phoenix. Altogether, we've created a $300 million U.S. apartment platform. It's got 2,000 units, and I think this will give us a real chance to grow a platform in the U.S. apartment. We're particularly interested in the Sun Belt. In addition to that, over the next month, we're expecting that we will close an open-ended impact fund that will be seeded with some of the Dream Unlimited assets. We wanted to create an open-ended fund because it is extremely difficult to line up impact investments. And when we do, we'd like to be able to keep them. So the fund has no fixed term. We're seeding it with Dream Unlimited's interest in the indigenous hub in downtown Toronto; Block 8 in the West Don Lands, its affordable housing; the utility that we created at Zibi, Dream's interest in that; and also Dream's interest in the federal government office building. So that's a good [Technical Difficulty]. They're all very sophisticated. And once we get this closed, we start to make a few more investments, we'll work to contact others who might be interested in investing in impact through us. We're also working on a couple of more investment themes, and I expect that we'll be able to report to you throughout the year on our progress. I'm very excited about the opportunities that we're working on with Jane. And just like impact, there's a very significant team working on asset management, private equity asset management, and we have high expectations. The last area I wanted to mention was Arapahoe Basin, our ski area. Just for background, 2 years ago, we decided that we would separate from Vail's path program so that Vail Resorts path, the epic path, would no longer be good at A-Basin. That was a very major change because we were actually their very first partner starting in 1997. So it took a lot of thinking about it, anxiety around it, and we decided in February of 2019 that we would go on our own. And on our first year, we started slow. We got momentum over Christmas. January was great. February was great. March was even better. And then on March 13, we were ordered by the governor to close. So we really didn't get feedback on what it meant to go on our own. So this year, we've had a whole bunch of obstacles, including we didn't have snow. We were 4 weeks late opening. When we opened, we weren't allowed to have any people inside. Now we're allowed to have 25%. The ski school business is limited - ski rentals limited. So - and we also have a restriction on the amount of people we can have at A-Basin. Notwithstanding that, in January, we earned more money than we did last year, and we also earned more money than we did in our best year ever, 2019, 2020 - 2018, 2019, the last year with Vail. So what's proving out is we are having a lot less gears. I think our yield for every lift ticket is up about 70%. So we're getting quality. People are really enjoying the ski area. Our overall yield, including ski school and food and beverage is about the same as it was last year, and it's way up from when we were with Vail. And I think that this year, we're likely to have probably our second best year ever. But you can see that as we are able to open the ski area up on time, have people getting food from us, have ski school lessons and ski rental, it looks as if we're going to be able to have new highest years ever starting either for the full calendar 2021 or for the 2021, 2022 season. So A-basin is turning into a big contributor for our company. I would say that we're very pleased with the progress that we made in 2020. It's really quite unexpected that given the shutdown, people having to work from home and so much fear and concern, we actually had a pretty good year. But I would say that for those who have followed our company for a while, we consistently focus on how do we increase our overall value and how do we make sure that we do better in the future than we did in the past. And there's a lot of initiatives that we've been doing to make our company stronger, whether it's the construction of the income properties, get more recurring income, growing the asset management business, the impact initiatives, what we're doing in Western Canada. I do believe that the future looks better than it has in the past. So I'd like to turn it over to Deb to walk you through the financials, and then we'd be happy to answer questions.
Deborah Starkman: Thank you, Michael, and good afternoon. I'm Deb Starkman. I spent the last 25 years in my career in capital markets and the last 14 at GMP. I've always had a strong interest in real estate and have a background that's useful for our fund business. I'm enjoying working at Dream, and I look forward to getting to know all of you. For the 3 and 12 months ended December 31, 2020, earnings before income taxes after adjusting for fair value gains and losses taken on Dream Impact Trust units held by other unitholders was $29 million and $120 million, respectively, compared with $477 million and $554 million in 2019. The change year-over-year is primarily due to the sale of Dream Global REIT that generated earnings before taxes of $416 million in 2019. While the pandemic had adverse effects across our recreational leisure business segments, we were pleased to complete the sale of 86% interest in our 480 acres at Glacier Ridge as well as the sale of Firelight Infrastructure assets, which provided an additional $116 million of liquidity and $79 million of pretax earnings. In addition, the company benefited year-over-year due to lower interest expense as a result of reduced interest rates as well as lower debt levels. Amidst challenging 2020, we maintain strong liquidity and managed risk to address the difficult financial environment and market uncertainty. As at December 31, we had $426 million in liquidity and a conservative leverage ratio of 27%. I will now go through a brief overview of results by operating segments. In the fourth quarter, our recurring income statements generated revenue and net operating income of $20 million and $6 million, respectively, compared to $309 million and $289 million in the prior year comparative period. For the 12 months ended December 31, 2020, our recurring income statement generated revenue and net operating income of $92 million and $27 million, respectively, down from $431 million and $348 million in the prior year comparative period. As previously discussed, our 2019 results have included fees earned on the disposition of Dream Global REIT totaling $280 million. The remaining decrease was primarily driven by reduced income from Dream Impact Trust portfolio, to the prior year asset dispositions and scheduled loan repayments as well as the ongoing capacity restrictions at Arapahoe Basin and the Broadview Hotel in Toronto due to COVID-19 pandemic. It's worth noting that inclusive of retail in Western Canada, Dream's average monthly rent collection in Q4 2020 exceeded 89%, and we have collected 89% of previously deferred rent due to the pandemic. Included in revenue for the 3 months ended December 31, 2020 was $5 million related to asset management and development contracts with Dream Industrial REIT, Dream Office REIT and our partnerships, which are expected to grow over time as we actively pursue new asset management opportunities. Now I'll talk about the development segment. In fourth quarter, our development segment generated revenue and net margin of $29 million and $600,000, respectively compared to $74 million and a loss of $12 million in the prior period, inclusive of a $23 million land write-down on Regina in 2019. The results were driven by Loblaws and anchored sales in Western Canada relative to the prior year comparative period. Results for fourth quarter 2019 included occupancies at Riverside Square, BT town, with no activity in the current quarter. Year-to-date, revenue and net margin for the development segment was up by $106 million and $68 million, respectively. Over the prior year, primarily due to Western Canada acre sales, including the sale of Glacier Ridge and condominium occupancies at Riverside Square, BT Town and Canal at Zibi. We achieved 335 lot sales, 107 housing occupancies and 526 acre sales in 2020, inclusive of Glacier Ridge. As of February 23, we have secured commitments for over 700 loan and housing sales expected to close in 2021. It's also worth mentioning that in the 3 and 12 months ended December 31, 2020, we received government assistance through the Canadian Emergency Wage Subsidy of $2 million and $6 million, respectively. Given the gap between our view on net asset value and share price, we believe that continuing to buy back stock is an attractive use of our capital and a driver of value creation. In 2020, we purchased 7.7 million subordinated voting shares for cancellation for total proceeds of $170 million. We also continue to increase our investment in both Dream Office REIT and Dream Impact Trust, increasing our ownership during the year from 27% to 32% in Dream Office REIT and from 23% to 26% in Dream Impact Trust at the end of 2020. During 2020, we received $24 million in distributions from the trust. As of February 23, the market value of our interest in the trust is $452 million, which is approximately 48% of Dream's current market cap. We remain committed to maintaining a conservative debt position and may use excess liquidity to purchase additional units in Dream office REIT and Dream Impact Trust as opportunities arise, fund potential new investments and ongoing share repurchases as part of our NCIB. And now I'll turn it back over to Michael.
Michael Cooper: Thank you, Deb. And at this point, we would be very happy to answer any questions people may have.
Operator: [Operator Instructions]. And we have our first question from Mark Rothschild with Canaccord.
Mark Rothschild: Michael or maybe, significant for Debbie, there's plenty of different ways that you spent money over the past year, whether it's buying back shares of Dream Unlimited, buying units of Dream Office, funding development. How should we think about what your - the most important uses of the capital are or maybe the best uses of capital are over the next 6 months to a year? Is it buying back shares? Are there other areas that are more important, such as investments maybe in Dream Impact?
Michael Cooper: So thank you, Mark. Firstly, I don't think the company has actually invested that much money in anything other than buying back shares at Dream Unlimited at least since COVID hit. The way we're set up, Dream Impact is investing in developments. Dream Unlimited has very little. Very little is required in addition at West Don Lands. Very little is required at - in Brightwater. So a little bit at Zibi, but we're actually not using up much cash, which is really quite interesting. So Western Canada produces cash, A-Basin produces cash. Development should produce cash. Obviously, asset management and our investments in Dream Impact. Dream Office should produce cash. So we don't have a lot of demands for capital at all. And then as far as buying back stock, we've been - we bought back about 2 million shares as of now on our issuer bid that started in September. We're allowed to buy up to 2.7 million, so we'll buy a little bit more. And then next September, we can buy another 2.4 million. So we're really trying to maintain our liquidity. I think we've got liquidity between $350 million and $400 million, which we're quite content with, and we're going to try to maintain that liquidity and continue building our business.
Mark Rothschild: So just to understand, you can only buy another 700,000 or so shares back of Dream Unlimited before September before you renew the bid?
Michael Cooper: Yes.
Mark Rothschild: Okay. Moving on to the dividend increase. Is this something that we should look at as what you would expect or hope to be an annual pace of growth? Or is there something onetime about the percentage increase in the dividend? Or how should we view that?
Michael Cooper: Well, basically, we introduced a dividend 2 years ago, and it was $0.20 a share, and it was about $10.8 million of cash. We've increased the dividend by 40% from $0.20 to $0.28, but the actual cash payment has only got - gone up about 11%. So we haven't really been committing too much more money to the dividend, but because there's so many less shares outstanding, it's easy to raise it. Going forward, I think we're expecting to see higher income from asset management and higher income from Western Canada and higher income from development. So I think we're going to try to raise the dividend consistently. But the total amount of dollars isn't even close to what we get from our dividend just in Dream Office. So we don't have the type of plan you're talking about, but what I'm saying, we want to increase it by a certain amount each year, but we certainly will increase it by at least the percentage of stock that we produce and probably a little bit more.
Mark Rothschild: Okay. Great. And maybe just one more question. We've seen in many markets in North America, an increase in demand for single-family housing. You have a large land bank, obviously, in Saskatchewan and in Alberta. Can you just maybe talk a little bit more about the trends you're seeing in those markets? Saskatchewan obviously had too much supply for some time. Are you more optimistic now about the next couple of years? Or is it going to take longer for those markets to strengthen as well?
Michael Cooper: Oh, no, quite the opposite what's sort of trying to get at. Everything we had available for sale was sold in 2020, which to me was completely the opposite, I would have expected with the financial crisis and a health crisis. So we ran out of inventory. And when you sell lots - when you send lots to builders, one of the things you have to look at is how are the builders doing. In Saskatoon at Brighton, that community, all the builders together sold more houses in December to users than we've ever sold in a single month. So we're seeing a major change in the housing market. And because the builders are sold through their lots as well as us, we know that's going to be very strong this year, and we'll be watching to see if it's gaining momentum or if it's a bit of a onetime thing. But it's been a massive change.
Mark Rothschild: And are you seeing orders come in already for this year increasing?
Michael Cooper: Yes. We have - so we have presales of houses that we build, and I'm not sure the number, but it's the highest we've had in years. And then we've got commitments from builders for our new subdivisions. And as we said in the press release, we have significantly more commitments with deposits and contracts than we actually sold in 2020. And we still will sell lots to builders during the year that close - that we can recognize in the year.
Operator: And we have our next question from Sam Damiani with TD Securities.
Sam Damiani: Just on the U.S. apartment platform. This came together, well, it seems kind of rather quickly. And when you look forward, like, what's the - how big is the sandbox? How big can this fund be? Is there any sort of limit on the size given the investor that you have? Or are you seeking additional investors to grow the size of the fund?
Michael Cooper: Those are great questions. So together with Pauls, we put together a platform to acquire and operate apartments. The client we're working with now has a big appetite, but they really buy fix sell. So it's very project-oriented, very IRR-driven, and we're happy to do that. We want to grow with them. But in addition to that, we'll probably be looking to find investor base to acquire apartment buildings that we can work on and hold, get quite a decent return, but more like an open-ended structure ideally.
Sam Damiani: Okay. And that sort of leads into my next question. You've got the apartment fund and maybe a core - call it a core apartment fund in your mind as well. And then you've got the Impact fund that you're launching, call it, imminently. How many other fund categories are you sort of looking at over the next year or 2?
Michael Cooper: I think what we want to do is - I mean, I think we don't want to have a lot of funds. I think we'd like to have a select number of funds that we can grow to scale. We're talking about an impact fund in Canada, and we think there may be opportunities in the states. But there's a big difference between an impact fund and a buy-and-hold or buy-and-flip apartment fund. So I don't think that's a conflict on geography or on team. So we think that the apartment in the U.S. right now is quite distinct from what we're doing an impact.
Sam Damiani: For sure. And the assets that are being seeded into the Impact fund, how are they selected primarily for their sort of time to completion? Or what was the criteria?
Michael Cooper: The criteria was we wanted to showcase our ability to create very good returns and significant impact. So the building we're building for the federal government in Ottawa, it benefits from everything about Zibi. It's got net 0 heating and cooling. It's built to a very high environmental standard. And it's - since it's part of Zibi, there's a lot that we've been doing with the indigenous. It's a whole community, which we think is quite inclusive. And there's a lot of affordable housing on the side, but obviously, an office building isn't affordable. But we think it's a way to showcase what we're doing at Zibi. The heating and cooling utility that we own with Ottawa Hydro, I mean, that's just a net 0. That's an amazing thing, and it's going to allow the impact fund to potentially be net 0 out of the chute. So we think that's a great way to showcase it. Block 8 is our affordable housing in downtown Toronto. And it shows how we can do affordable housing, inclusive community that's financially attractive. And the indigenous hub is also financially attractive. Oddly enough, it does not have government assistance or participation. It's just the result of 4 years of negotiating with the Anishnawbe Health Center and coming to terms that are good for everybody to build it. So we thought that when we went out to see investors, those four investments basically showed dream being able to create incredible impacts, incredible returns and they're vended in at market value. So I think it's good for everybody.
Sam Damiani: That's great. And last one for me is on A-Basin. Great color on the - I guess, the top line. Sounds like it's very, very robust. This year looks good. How does that look at the EBITDA level with the new pass?
Michael Cooper: I'm glad you asked that because I was really referring to the EBITDA number, not the top line. The revenue numbers aren't that great because we're going for - this year, maybe we have 370,000 skiers. 2 years ago, we had 600,000. But the revenue per skier is going way up, the quality is going way up, and the cost of operating is coming way down because we don't have as many skiers. So in January, we generated more EBITDA than in 2019. And February so far, we're doing great. And last year was a great February. The year before was a great February, but I wouldn't be surprised if our EBITDA is highest ever this February. So we haven't even had the experience of what March, April, May are like when A-Basin is at its best, but it looks really promising on an EBITDA level on the profitability level. The other thing I would mention is, we introduced - we built - we completed our Adventure Park last summer. And we also completed our mountain climbing. It's extreme mountain climbing. We did 2 levels. It turns out both levels are extreme, one more extreme than the other. It's kind of consistent with type of scary that we have. But we're going to see [indiscernible], the adventure park and the via ferrata, which is the mountain climbing, how much revenue we get, but that's - a lot of that's incremental. So I think we're going to see some - a real step-up in the normalized profitability of A-Basin.
Operator: [Operator Instructions]. Our next question is from Dean Wilkinson with CIBC.
Dean Wilkinson: Michael, extreme mountain climbing is a redundant statement.
Michael Cooper: No, it's not. It's not. I got to tell you it's a funny story because we have one level and then we have a higher level. And when I was speaking to them recently, they were saying that mid-level, it's too high. We should probably do a third level now because it's really for athletes. Yes, so it's the way it goes, but the ski area is known for it.
Dean Wilkinson: I'll watch the video. I just - I want to talk about the impact investment. I think historically, and maybe it's been more perception than reality that the cost of doing good has been dilutive to the financial returns of sort of real estate development. Has it changed that sort of the cost of doing the right thing has come down now? Or has the hurdle around just general returns come in so that you can now actually do good and make money at the same time? Like, what's changed now? And I think that we're in a much better position to be able to do that.
Michael Cooper: Well, I actually think that within real estate, some people just build something, they put up a square box, they call it an office building, some people put up a square box, they call it a condominium, and others really build communities. And a wonderful example is Daniels. they've done some incredible work at Regent Park, and they did it on a for-profit basis. And there's quite a few people who do great work, but generally on a small scale. So what we're trying to do is, institutionalize it, come out with a framework that will provide the large institutions with the belief that what we're doing isn't diluted. So I think that there's always been some of it, where we're getting a new framework, there's a new approach to it. But I would say there's two huge changes from the past. One of them is every level of government is focused on affordable housing. It is a serious issue, and it's one of the few issues that at the municipal, federal and provincial levels, there's total alignment. I would say that you're seeing a lot more alignment on climate change, and what the governments are doing are using some sticks, but there's also a lot of incentives. So when we do some of our work, we try to line up a number of incentives from different governments, and that can make it quite attractive. Brightwater, we bought from Exxon, a very polluted site. That used to be a refinery and turned it into last year, in 2020, it was Toronto's award-winning community, the #1 community in the city. So that was all without any government, but because there was some skill involved with it. We designed a community that really does provide a lot of impact. We're opening up the waterfront to the residents of Port Credit. You'll be able to fight here from Toronto, and it will be different. We're probably going to have a Y there. We've got affordable housing there. So I think that there are some incentives that make a difference. So I think one of the things that's different now is the government. I would say the other part is the providers of capital and the customers are more attuned to wanting to pay fair value for projects that provide impact. So I think a lot of things are aligned. I think it could be really big.
Dean Wilkinson: That's great. I definitely agree. It's a trend. It's not a fad. And I think we all ignore it at our own peril. That's all I had.
Michael Cooper: Thanks a lot, Dean.
Operator: And thank you. We have no further questions. I will now turn the call over to Michael Cooper for closing remarks.
Michael Cooper: Thank you, Operator. And to everyone on the call, really appreciate you continuing to follow our company as it sounds. We have a lot of things cooking, and I think that we'll be happy to speak again and go through what we've achieved. And in the meantime, if anybody has any follow-up questions, please don't hesitate to reach out to Deb or myself. So once again, thank you for your interest, and hopefully, 2021 will be somewhat less eventful than 2020. And we'll get a bit of a rest. So thank you all very much. Looking forward to our next meeting.
Operator: Thank you. Ladies and gentlemen, this concludes our conference. Thank you for participating. You may now disconnect.